Operator: Good day, everyone. And welcome to Steelcase’s Fourth Quarter and Fiscal 2014 Conference Call. As a reminder, today’s call is being recorded. For opening remarks and introductions, I would like to turn the conference over to Mr. Raj Mehan, Director of Investor Relations. Please go ahead.
Raj Mehan: Thank you, Danielle. Good morning, everyone. Thank you for joining us for the recap of our fourth quarter and fiscal year-end financial results. Here with me today are Jim Keane, our President and Chief Executive Officer; Dave Sylvester, Senior Vice President and Chief Financial Officer; Mark Mossing, Corporate Controller and Chief Accounting Officer; and Terry Lenhardt, Vice President, Finance for the Americas, EMEA and Asia-Pacific. Our fourth quarter earnings release, which crossed the wires yesterday, is accessible on our website. This conference call is being webcast, and this webcast is a copyrighted production of Steelcase, Inc. Presentation slides that accompany this webcast are available on ir.steelcase.com, and a replay of this call will also be posted to this site later today. Our discussion today may include references to non-GAAP financial measures and forward-looking statements. Reconciliations to the most comparable GAAP measures and the risks associated with the use of forward-looking statements are included in our earnings release and webcast slides. We are incorporating by reference into this conference call, the text of our Safe Harbor statement, included in yesterday’s release. Following our prepared remarks, we’ll respond to questions from investors and analysts. It’s my pleasure now to turn the call over to our President and Chief Executive Officer, Jim Keane.
Jim Keane: Thanks Raj and good morning everyone. This is my first call as CEO; and over this next year, I am looking forward to meeting as many of you as possible face to face. I appreciate your investment in and support of this great company. We want to help you understand our business and why we are so excited about our purpose of unlocking human promise. As in at Steelcase working for Jim Hackett directly for the last 17 years, in that time I worked on strategy, I worked in our research area and I was CFO for about 6 years during one of the most challenging periods of reinvention in our history. Over the last 8 years, I was initially responsible for the sales, marketing and product development efforts in North America. More recently as COO, I have been working to help Steelcase become more globally integrated, so we can leverage our best products and our best practices to better serve our customers and improve our economic performance around the world. I feel very fortunate to be taking on this role at this time for two reasons: One, I believe Steelcase is headed in the right direction. That reflects Jim Hackett’s challenge to reinvent portions of our business and position ourselves in a new competitive environment. It also reflects the hard work of thousands of Steelcase employees all around the world to respond to that challenge, beginning nearly 15 years ago. Economically, we can clearly see the impact in our Americas business, where we have been consistently achieving double-digit adjusted operating income margins. And we had another strong quarter to close the year. We face the new challenge of replicating this success around the world, but we are headed in the right direction. Second, I have great confidence in the management team at Steelcase. This team has worked shoulder-to-shoulder in developing and executing our strategy. We have stayed together through some extraordinary challenges. In terms of talent and global experience, I believe it’s the best team in the industry and it’s showing in our results. It remains my privilege to be a member of this team. So when the Steelcase Board of Directors chose me to become CEO, they really chose the entire team. They chose the team who’ve helped us reinvent the company, who have helped us redefine our brand and bring new products to market, and who Fortune recognized in their list of most admired companies again this year, the only company from our industry in that list. As a result, you should not expect my appointment as CEO to trigger any sudden changes in strategy. That strategy is my strategy, it is our strategy. Yet our strategy is dynamic, we are always working to be ahead, always reinventing to be better. So this should sound familiar to you. Steelcase’s primary focus is on serving leading organizations, wherever work happens in developed markets and selected emerging markets. We are relevant to our customers, when we translate our insights into a portfolio of products, applications and experiences and we earn a profit by leveraging scale locally, regionally and globally. The work is not going away; in fact, work is only becoming more competitive. The leading organizations we serve are always looking for the next ideas so how they can be more innovative, more agile, more globally connected. They want to hire the best people and engage them completely in their work. They want to be ahead and so do we. That’s why we invest so much in research. Our research leads to insights about what will happen next. So we are ready and our customers are looking for the next idea. So that’s our strategy in a nutshell. You will hear us to return to these points again and again. And in fact you will see in just a minute how they connect to some of our current priorities. And I can tell you that one of the biggest priorities has been and continues to be improving the competitiveness and economic performance of our EMEA business. Over the last 15 years, we have implemented some actions in EMEA from time to time to adjust our capacity in response to declines in industry wide demand. Our current series of initiatives begun over a year ago, it is broader than capacity reduction and in some ways more significant. We have an opportunity to focus our sales efforts more completely on the leading organizations to value our insights and deepen our relationships with these customers. We have an opportunity to more completely leverage our global product portfolio in our EMEA markets. And two of the largest Gesture chair orders to-date have come from EMEA. We have opportunities to leverage scale, both across EMEA and globally to improve reliability and reduce costs. The team who runs EMEA is completely engaged in these initiatives and have announced specific plans that are already being implemented, but the EMEA team is not on their own. We have a global structure in areas like product marketing, product design, legal, finance, HR and the global leaders of each of these areas were either born in Europe or lived and worked in Europe during their careers. Some of the people who led our reinvention of Americas operations are now fully engaged and doing the same in EMEA. Nearly every day, I am part of meetings or receiving updates on our progress in EMEA. Many of our competitors in EMEA are struggling to find a strategy for a new era in the region but we have the advantage that we have seen our strategy work in the Americas and with some adaptation, we believe it will work in EMEA since we’re serving many of the same customers globally. And we have people with experience leading the reinvention, so we are not trying to figure out how to do it for the first time. It’s important we work in close partnerships with the various work councils in each country, define the best path forward to a more competitive future. While those discussions continue, we have broken ground on our new factory in the Czech Republic and I saw photos this week of the first team’s being set. We have consolidated our dealers in Paris and have enjoyed several recent wins in France. We have implemented our sales force redeployment and are seeing signs of its effectiveness in Germany for example. We are fully engaged in these initiatives, even as we continue discussing the future with the work councils. Despite that progress, it is unlikely that we will see a material improvement in our EMEA financial results in fiscal year ‘15, the year we’re starting this month without some improvement in the economy. The actions we’re taking should start to impact our results in fiscal year ‘16 with ongoing improvements in fiscal year ‘17 and ‘18. So, EMEA is clearly a prime area of focus for us and everyone in our organization is aware of this. Every recent Board meeting has included an update on EMEA. We also remain committed to continuously improving our fitness across our business. We never stop looking for ways to embrace technology and leverage our global footprint to improve operating expense efficiency. At the same time, we invest those savings in innovation and customer facing activities. Our new V.I.A. architectural platform is a tangible example of innovation that will continue to require investment as we add more capabilities this year. We have also invested in expanding our sales force in our strong Americas business, supporting growth in vertical markets and new product categories. As you know, the Americas business has the most efficient operating expense performance, and we expect that to continue despite these investments. Before Dave talks about our financial performance, I want to share one piece of good news related to our sustainability performance. Steelcase has been recognized by the EPA for having made renewable energy investments equivalent to 100% of our global electricity consumption. In fact, we’re the 15th largest green power user in the U.S., making a fairly exclusive list of companies that have met or exceeded this standard. Now we didn’t make the investments to make the list, but rather to be ahead in every aspects of our business including the aim that many leading organizations share to do business in a sustainable way. Going forward, I look forward to more chances to share information about our business and I hope to see many of you at NeoCon in June. I’ve never been more proud of our people around the world and I’ve never been more excited about what comes next. With that, I will turn it over to Dave Sylvester.
Dave Sylvester: Thank you, Jim. I’ll start with few high level comments about the fourth quarter results and balance sheet, provide some additional colored commentary around our order patterns and outlook for the first quarter, as well as some general commentary on fiscal 2015 as a whole and then we’ll move to your questions. On the fourth quarter results, I will first talk about the results versus our expectations and then move into the year-over-year and sequential quarter comparisons. Overall, revenue and adjusted earnings per share were at the high-end of our range despite $8.9 million of non-operating charges and approximately $3 million of tax-related adjustments. From a revenue perspective, we experienced higher than expected sales in EMEA, which were driven by improved orders in Germany, as well as broad-based strength in Asia Pacific in PolyVision. This more than offset a small shortfall in the Americas, which largely resulted from customer requested shipment dates being pushed out further than historical patterns. Incoming orders for the Americas were otherwise slightly better than our expectations. From an adjusted operating income perspective, results were significantly better than our expectations, primarily due to lower than anticipated variable compensation expense linked to the non-operating charges and tax adjustments, as well as the fact that a pending facility sale and the related gain were delayed to the first quarter of fiscal 2015. The earnings estimate we provided last quarter anticipated the sale would close in the fourth quarter and result in a gain recorded as a restructuring benefit, with related variable compensation expense recorded in our operating results. Gross margins and operating expenses in the quarter were otherwise slightly better than expected across most of the business. As it relates to the non-operating charges and tax adjustments, we recorded a $6 million charge related to a minority equity investment in a start-up business venture. In addition, we recorded $2.9 million of foreign exchange losses, primarily driven by exposure to the Canadian dollar. Finally, we recorded approximately $3 million of additional tax valuation allowance adjustments and other discrete tax charges. The valuation allowance adjustments primarily related to additional jurisdictions primarily within EMEA that have been recording operating losses. A little more color on the segments. In the Americas, project business drove much of the 6% organic revenue growth which resulted in an 11.5% adjusted operating income margin, a significant accomplishment during a seasonally challenged quarter. The impact of the Americas revenue shortfall was more than offset by lower than expected variable compensation expense and other operating expenses, as well as better than expected gross margins. As a result, adjusted operating income was slightly better than our expectations. And as I said before, order growth in the Americas was better than expected which drove customer order backlog significantly higher as compared to the prior year, setting up the strong start to fiscal 2015. For EMEA, the adjusted operating loss of $5.7 million was significantly better than expected as revenue, gross margin, variable compensation expense and other operating expenses were all better than we anticipated. While we are pleased that EMEA’s loss this quarter was smaller than expected, EMEA posted its third consecutive annual adjusted operating loss for the full fiscal year of 2014. As Jim said, we remain focused on our multiyear strategy necessary to safeguard our global competitiveness and restore profitability. Regarding the other category, we expected Asia Pacific Designtex and PolyVision in total to lose a little money in the quarter and instead they posted adjusted operating income of $2 million or 2.8% of revenue. The difference was largely related to strong order patterns in Asia Pacific and PolyVision, which I will talk a little more about in a few minutes. Now a few comments on the year-over-year comparisons. Revenue in the fourth quarter grew 2% organically and adjusted operating income increased by $16.8 million or nearly 50%. Improved results in the Americas and the other category, as well as lower corporate costs were offset in part by lower operating results in EMEA. Organic revenue growth in the Americas of approximately 6% represented the 16th consecutive quarter of year-over-year growth and reflected a favorable shift in business mix despite the mix of business associated with large projects being higher than the prior year again this quarter. The Americas operating results also benefited from lower variable compensation expense resulting from the non-operating charges in tax adjustments previously mentioned, as well as continuous cost reduction efforts across the industrial system. These benefits were reduced in part by higher operating expenses. For EMEA, the effects of the 13% organic revenue decline in the quarter including higher levels of competitive discounting and approximately $4 million of operating cost and inefficiencies associated with the changes in the EMEA manufacturing footprint, more than offset operating expenses, lower operating expenses linked to our restructuring activities and other cost reduction efforts. The current quarter results also included a favorable adjustment to accrued expenses compared to an unfavorable adjustment to warranty reserves in the prior year. In the other category, a $1.9 million improvement in adjusted operating income was driven by 11% organic revenue growth. PolyVision posted a double-digit organic growth rate and a double-digit operating income margin this quarter despite the fact that the fourth quarter is typically a seasonally slower quarter. Asia Pacific posted a 19% organic growth rate in the top-line and returned to modest profitability on the bottom-line. The revenue growth was broad-based and fueled by 28% year-over-year growth in orders on an organic basis. For Designtex, we experienced a low in overall demand during January and February, which dampened their quarterly results. In addition, we continue to invest in a number of growth initiatives and strengthening their position in the market over the longer term. Lastly as it relates to corporate cost, the $6.8 million decrease was primarily a function of higher cost in the prior year including $3.6 million of environmental charges. In addition, earnings associated with deferred compensation were lower and COLI income was higher in the current quarter compared to the prior year. Sequentially, we recorded similar revenue in the fourth quarter which included 14 weeks compared to the third quarter which included 13 weeks. And our adjusted operating results were also similar. The operating cost associated with the extra week, as well as the operating cost associated with the changes in the EMEA manufacturing footprint were largely offset by lower variable compensation expense and a favorable shift in business mix in the Americas. In addition, the third quarter results included unfavorable adjustments to reserves for slow-moving component part inventory and customer sales allowances totaling $2.8 million and the fourth quarter included a favorable adjustment to accrued expenses in EMEA. Switching to restructuring benefits, they were lower in the quarter than our expectations as one of the facilities we have been in the process of completing was delayed to the first quarter of fiscal 2015. Regarding the actions related to EMEA that we announced in Q3 2014, our discussions with the works council regarding the closure of a manufacturing facility in Germany remain in process and thus we do not have anything new to report. And as Jim said, construction of the new manufacturing facility in the Czech Republic is underway and largely on schedule. We continue to anticipate approximately $10 million in annualized savings from these actions once fully implemented by the end of fiscal 2016. However, we continue to anticipate significant operating costs and inefficiencies over the next year or so as a result of these actions, likely exceeding our initial estimate of $5 million to $10 million by another $5 million or so. These actions in addition to previously announced actions are part of our multiyear EMEA strategy to improve revenue and the fitness of our business model. We anticipate the EMEA segment will continue to report adjusted operating losses until the benefits of this multiyear strategy are more fully realized and the overall economic environment in Western Europe improves. Moving to the balance sheet and cash flow. We generated $79 million of cash from operations during the fourth quarter. Working capital decreased by $41 million in the quarter primarily due to seasonal revenue declines in January and February, compared to October and November. Capital expenditures totaled $35 million in the fourth quarter and included initial investments in the new plant in the Czech Republic, upgrades to manufacturing technologies and facilities, and investments in product development. For fiscal 2015, capital expenditures are expected to be within a range of $90 million to $100 million as we complete the construction of the new facility in EMEA, continue to upgrade various manufacturing technologies, and invest in various customer facing initiatives including showrooms and e-business platforms. We returned approximately $30 million to shareholders in the fourth quarter through the repurchase of approximately 1.2 million shares at a total cost of $16.9 million and the payment of a cash dividend of $0.10 per share totaling $12.6 million. And yesterday the Board increased the cash dividend, declaring $0.105 per share to be paid in the first quarter. Turning to order patterns, I’ll start with the Americas where our orders in the fourth quarter excluding the extra week grew approximately 5% compared to the prior year. Orders grew slightly in December and then fell slightly in January, before strengthening in February. In fact, orders grew 13% in February excluding the extra week and the backlog for the Americas ended the quarter, up approximately 18% compared to the prior year. Across "types" in the Americas, project business remained strong, growing at a higher than average rate, while orders from continuing agreements grew slightly less than average, and our marketing programs aimed at smaller day-to-day business, declined slightly compared to the prior year. Vertical market order growth was broad based with only the financial services sector showing a meaningful decline compared to the prior year. Federal government orders were down slightly. Switching to EMEA, order patterns in constant currency remained mixed growing by approximately 3% in total compared to the prior year. Significant order growth in Northern Europe and solid order growth in France was dampened by a significant decline in the Middle East and Africa and modest declines in Germany and the export markets of Eastern, Central, and Southern parts of Europe as a group. At the start of the fourth quarter, customer order backlog in EMEA was down 9% compared to the prior year and orders were down by a high single-digit year-over-year percentage during December than much of January, which drove the 13% organic revenue decline in the quarter. During February however, orders strengthened considerably, growing more than 20% compared to the prior year. And as a result, customer order backlog for EMEA ended the quarter up approximately 26% compared to the prior year. While we are pleased with the order patterns during the month of February, we expect the month-to-month volatility to continue until the macroeconomic climate improves more significantly. Within the other category, orders grew significantly at PolyVision as we secured an $18 million project order that is expected to ship over the next five quarters. And as I said a moment ago, orders in Asia-Pacific grew by 28% adjusted for the extra week. Orders at Designtex declined due to the low demand during January and February, but we are beginning to see the seasonal rebound in March. So, to summarize our order patterns and quarter-end backlog in the Americas remained solid; PolyVision continues to perform very well; Asia-Pacific maybe emerging out of the demand low we have been experiencing over the past two years; and we had a nice month of orders during February in EMEA, though we continue to face a challenging environment in this region. Turning to the first quarter. We expect to report revenue between $715 million and $740 million, which compares to $667 million in the first quarter of fiscal 2014. After giving effect of currency assumptions, we estimate organic revenue growth will approximate 7% to 11% compared to the prior year. Sequentially, the revenue estimate represents a range of down 2% to up 2% on an organic basis, which is somewhat better than typical seasonality. As we entered fiscal 2015, we expect another strong quarter in the Americas, but we estimate our adjusted operating loss in EMEA could exceed $10 million in the first quarter driven in part by an estimated $5 million of operating costs associated with changes in the EMEA manufacturing footprint. As it relates to restructuring costs, our earnings estimate contemplates initial charges related to our proposed actions in Germany, the timing and magnitude of which is dependent on the completion of negotiations with the works council. Plus we continue -- plus we expect to record the gain associated with the sale of a previously closed facility in the U.S. which was deferred from the fourth quarter and is expected to generate approximately $17 million of cash, once the transaction is closed. The estimate for earnings also includes approximately $3 million of incremental variable compensation expense associated with the pending facility sale gain and an effective income tax rate of approximately 44%. Many variables impact our effective tax rate estimate each quarter, so we cannot predict our effective tax rate with certainty but we do expect that we will continue to have a higher effective rate while EMEA is generating net operating losses in various markets in which we are not reporting any related deferred tax benefits. As a result of these factors, we expect to report first quarter earnings within the range of $0.12 to $0.15 per share including net restructuring cost of approximately $0.02 per share, which translates to an adjusted earnings range of $0.14 to $0.17 per share. For the full fiscal year 2015, we expect revenue growth again this year and we expect to continue the expansion of our adjusted operating income margins. How much we are able to expand our margins will be a function of many things including volume and pricing, the mix of business, the pace of inflation, the level of disruption we may experience in EMEA related to our restructuring activities, and the level of investment in future growth ideas. From a revenue perspective, we expect modest growth in the U.S. contract office furniture industry and we are continuing to target growth rates in excess of industry averages. We believe much of our growth in the Americas will continue to be driven by project business as the number in estimated size of projects in our pipeline remains high. For EMEA, we will begin shipping a large project in France that we won over a year ago and to others that have been in backlog for a while now. But demand volatility and potential customer disruption associated with our restructuring activities may stress their top line. Asia on the other hand is expected to sustain some of its recent momentum and return to solid growth rates. Lastly, we expect growth from PolyVision driven by the large project won in the fourth quarter and we believe our investments in new products at Designtex will help drive growth in fiscal 2015. As it relates to our expected contribution margin or operating leverage associated with the revenue growth, we expect the mix of business to remain favorable in the Americas, resulting in a consolidated variable contribution margin associated with revenue growth of between 25% and 30%. However, we also expect to invest in a number of sales, distribution and e-business initiatives to drive our growth in fiscal 2015. This is different than the last four years, wherein our revenue growth was largely driven by improved sales efficiency. As a result, our net contribution margin in the coming year could potentially be at or above 25%, depending on the pace of these investments and the level of revenue growth we are able to achieve. Across manufacturing, we do not expect any significant benefits in 2015 related to the changes in the EMEA manufacturing footprint, as we do not believe they would be completed until late in the fiscal year. However, we do expect incremental operating costs and inefficiencies associated with these initiatives including the $5 million we estimate for the first quarter. Sizing the full year amount is dependent on a number of factors outside of our control, so I will stop short of estimating the specific number. Instead, I will share that we are targeting a number of continuous cost reduction efforts around the world in our supply chain manufacturing and logistics areas. In fact, our fiscal 2015 plan currently contemplates [that] the benefits of these cost reduction efforts will outlay the EMEA disruption costs. So you could think of these two factors as netting out or potentially netting to something modestly positive. Finally as we have stated many times, we believe staying invested in a variety of growth initiatives has been a key driver of our market share gains over the last two years. In our webcast slides we included a fiscal 2014 roll forward of operating expenses compared to the prior year which highlights changes due to foreign currency translations effects, acquisitions and divestitures, variable compensation expenses and other items. In this roll forward you will note in other net column totaling $12 million which compares to an increase of $7 million in fiscal 2013 and $20 million in fiscal 2012. You can think of these amounts as the levels of costs which were invested back into the business since the recession to sustain our momentum in the market and support future revenue growth. We have planned to invest between $20 million and $30 million in fiscal 2014, but with the poor results in EMEA and Asia Pacific continuing to face the low-end demand during the year, we pulled back on spending around the world in order to cushion the impact of lower than expected results in these businesses. For fiscal 2015, we expect to reinstate many of the investments that were delayed in fiscal 2014 and add a few additional strategies, all targeted to sustain our momentum. As a result however, you should anticipate that one year from now this other net category within the operating expense roll forward may aggregate approximately $20 million plus any investments we make in the sales distribution and e-business initiatives I previously mentioned. The payback for these investments will come from our ability to sustain momentum with our growing global customer base and to continue growing faster than industry averages which we have done for the past three years in the U.S. So we expect another solid year in 2015 and we are committed to improving our competitiveness in EMEA. From there, we will turn it over for questions.
Operator: Thank you. (Operator Instructions). And our first question comes from Matt McCall from BB&T Capital Markets. Please go ahead.
Matt McCall - BB&T Capital Markets: Thank you. Good morning guys.
Jim Keane: Good morning Matt.
Dave Sylvester: Good morning.
Matt McCall - BB&T Capital Markets: So Dave, I’ll actually hit on that incremental margin question I just want to make sure I understood it. You said 25 to 30 with investment could great and 25 and I think you said the investment is going to be 20. I just want to make sure I understood all those numbers. Is tit greater than 20 inclusive of the expected other category and the $20 million we expect to be able to shoot?
Dave Sylvester: What I was basically doing Matt was dividing our incremental spending investments for next year into two buckets; one that are directly linked to our sales growth and sales initiatives and distribution activities. And what I was describing was that our contribution margin should still net to around 25% or maybe even a little better even after we cover those incremental investments because of the mix of business we expect to stay relatively good, we would otherwise push the contribution up maybe closer to 30%. Then separate from that we expect to invest around $20 million plus or minus in other longer term growth initiatives in other initiatives across the business. That makes sense?
Matt McCall - BB&T Capital Markets: All right. So greater than 25 then you’ve got -- so that’s the core incremental then you got the same $20 million sustained in excess of that?
Dave Sylvester: Yes. So you can do it a couple of ways, you can think of a net contribution margin after the directly related expense investments associated with revenue growth as net 25%.
Matt McCall - BB&T Capital Markets: Okay.
Dave Sylvester: Then plus 20, plus or minus or you could say all right, well maybe the contribution margin is higher than 25, maybe even closer to 30 and the incremental expense investments would be more than 20.
Matt McCall - BB&T Capital Markets: Got it, okay. And I guess few questions, so the next one I’m going to ask, Jim, you talked about most of the expected improvement in EMEA coming in ‘16 and ‘17. If I assume some cyclical recovery in EMEA like the [time, however the place] the things you are getting better. What's your targeted profitability; you use your success in the Americas as a guide, but I'm assuming it's not a 12% target at EMEA, what would make you happy in ‘16 and ‘17?
Jim Keane: Well, without the cyclical recovery I'd say that probably the planning horizon we’d expect single-digit operating income percentages and we would hope that it would continue to improve beyond the planning horizon. With the cyclical recovery, you tell me how much it grow then I'll tell you how much better it gets. But I'm encouraged by the news this week that the European Central Bank is maybe hinting at least at some stimulus actions. If things like that were to come together and European economy were to strengthen, we know that has an effect on our business. And if we have a higher fixed cost and therefore a different kind of variable contribution margin in Europe. So, we're more sensitive providing a thesis there than we are in the Americas business. So we would see that improvement quicker.
Matt McCall - BB&T Capital Markets: So, without any cyclical recovery we're talking about low single-digit margins upper to low and then I assume it’s low, but low single-digit margins over the next couple of years with obviously you could see something better than that?
Jim Keane: Yes. We're -- it'd just be a long-term plan, so we're not content with that answer, but that's the answer [hearing any] horizon. And our intent would be to continue to improve it beyond that planning period.
Matt McCall - BB&T Capital Markets: Okay, okay. And I apologize; I just want to sneak one more in. Dave I just want to understand, it sounds like you are saying there is going to be a benefit to make that’s going to help your -- or mix benefits going to help you in the margins, but also thought there were more projects expected. So I am just trying to make those to make sense always by large projects and the margins generally, and how am I not connecting those dots?
Dave Sylvester: I’m going to let Terry take that, he has studied this in depth and it is a little counter intuitive, but he will walk you through.
Terry Lenhardt: Hey Matt. You summarized it well, we did have an impact from higher mix of project business, project sales led our growth rate last nine quarters and fourth quarter is the same. So our percentage of -- our mix of project business was up higher than last year, so that short our margins. But if you look at our customer mix, we had a favorable customer mix that more than offset actually the impact of higher percentage of projects. It’s called by a year ago we are talking about some unfavorable customer mix for a couple of quarters. We are getting benefit from the opposite side of a favorable customer mix this quarter and we think next quarter.
Matt McCall - BB&T Capital Markets: And can you give an example of what that range -- it is a favorable customer?
Dave Sylvester: If we knew that none of our customers would listen, we would have talked more specifically about all that, but it’s driven a lot by verticals. There are some verticals that are inherently less profitable [than our federal] government for one. So some it is structural with the higher mix within specific verticals and some of it is a specific customer on project to our large continuing order.
Jim Keane: It also has some customers they just buy a different product mix. It can simply be the shift in product mix towards product seems more profitable than other products.
Dave Sylvester: And some customers buy a lot more than other customers, so they use that as leverage in their negotiations so the discounts tend to be higher with that level of buying.
Matt McCall - BB&T Capital Markets: Okay. Thank you, guys.
Jim Keane: Yes.
Operator: Thank you. And our next question comes from Budd Bugatch from Raymond James. Please go ahead.
Budd Bugatch - Raymond James: Good morning. Jim first congratulations, best of luck on your 10 year as CEO, David, thank you as always for the great color. I guess my real question Jim for you is kind of a larger picture. And would you be kind enough to size the addressable market in Europe and maybe also the Middle East and Africa over the long-term. What do you see as the size of that market? We get good data in the U.S.; we don’t get such good data worldwide. And maybe you could give us a size of that and then I am going to obviously go to the next question as to what kind of penetration you think you can ultimately get there.
Jim Keane: So thanks Budd first of all for kind remarks and the way -- first of all, we don’t get great data either; we don’t have something equivalent to BIFMA that covers all of Europe or all of EMEA. And as you [leave] Western Europe and you go to Eastern Europe for the Middle East, the data becomes even more difficult. So, we take steps to try to estimate it. One way of thinking about it is we think that overall we have a much lower market share across EMEA than we do in the Americas. So regardless of how I might define that denominator, how we know that we’ve got more potential if we were capable to achieve similar sorts of market share levels, we have more upside growth opportunities without having to do something extraordinary. I will ask Raj to may be repeat numbers that we’ve shared before our investors about our estimates of the addressable market, but I would also put that caveat there that there is a lot uncertainty around these numbers.
Raj Mehan: I mean the best numbers that I think that we have Jim are relative to Europe overall, currently that market is running around just a little over EUR 7 billion, but it’s peaked at around EUR 9 billion and it’s hung at that EUR 7 billion level, but for the last three year or four years, sorry EUR 7 billion number over the last three or four years. So there is clearly the same some sort of pent up demand there because the forces have changed that we’ve talked to you about in the Americas are also impacting the businesses over there as well.
Jim Keane: Back to the growth opportunities, so we see growth opportunities in virtually every market there. We have markets where we’ve been very strong historically like Spain that has gotten hit particularly hard by this recession in EMEA. So that’s one answer, just that probably we might see in Spain clearly to help us dramatically increase our sales to even levels they were used to historically. But there are other markets where even though we’ve been well established there overtime, we’re building new customer relationships with kind of customers we should be serving, deepening those relationships as I said before. And so even with our core customer segments in Western Europe, there is an opportunity to gain share. Now, if you think about kind of broader growth drivers, just overall growth in the economy, essentially Europe, Eastern Europe is obviously a place that everybody has been talking about, we are establishing the [main section] footprints as we said earlier in the Czech Republic. We are seeing opportunities to continue to move our growth in that market. The size of it today is probably not event relevant to what the size of it could be five years or seven years from now, it will be true skepticism for me to try to estimate that other than it’s worth pursuing. It’s big enough there to be worth our attention. And the Middle East has been a place where we’ve been doing business for a long time. Again some very large projects there and we have an opportunity to improve our presence. So we see lots of opportunities to grow across EMEA. I think just one last point is that our customers are increasingly global and as they extend their own footprints, expand their own operations throughout Eastern Europe, Central Europe, Middle East, South Africa, Asia, in many cases we’re following our customers as they are asking us to help, us meet their need in these places. So, just by serving our existing customers, we can grow by being in a place where they are growing. Thanks for that question, Budd.
Budd Bugatch - Raymond James: Okay. And secondly, as we get there and you’ve talked a little bit about the penetration opportunity and the markets look I guess relatively the same size and the two numbers you’ve given us as to the U.S. when you equate them in the dollars category. Then the question becomes, what’s the ultimate operating margin potential there? We have double-digits in the states, are we 300 to 400 basis points lower because of a lower market share in Europe or -- and is there something structural, is there no structural impediment to get at the same kind of operating margin that you’ve been able to demonstrate in the U.S. and North America?
Jim Keane: So again during the planning horizon, we have improvement curve that we are working towards that will help us getting to that single-digit level. In the longer run, we expect to see that continued to improve. Now, can it close the gap completely, what’s the time to margins we see in the Americas? I don’t know that I see that in the next few years, I don’t want to rule anything out, because markets continue to change, our product portfolio continues to change, the segments we serve change, and frankly our margins in the Americas are much higher now than they were a few years ago. So, we may not close the gap in medium term, but we can certainly reach the level with acceptable profitability gives us a good return on the investments we’re making and that’s the way we’ve looked at it. Plus, being strong in EMEA helps us retain our strength in the Americas, because we can serve these customers, they are really global customers and helps us kind of lock in these relationships globally.
Budd Bugatch - Raymond James: Okay. And my last question, since Matt stuck, one more, I’ll sneak one more is, David, you talked about the contribution margin and you kind of gave us several ways to get to the 25% range. How about parsing that by the segments and giving us some feel as to maybe the differential between EMEA and U.S. and other?
Dave Sylvester: Sorry, but I’m not going to go to that level of granularity. We -- there are too many moving pieces that happen. I will tell you that the contribution margin in EMEA is higher, because as they grow the business, they won’t be booking as much variable compensation, we’ve talked about this in the past. We have been -- we pay our bonuses around the world on global profitability. So we’ve done accruing variable compensation in their results. So as they grow, there will be less dollar for dollar connection of variable comp to their contribution margin. So, it’ll be higher than the overall average.
Budd Bugatch - Raymond James: Will that be the highest?
Dave Sylvester: Yes.
Budd Bugatch - Raymond James: And U.S. be second, can you at least rank them?
Dave Sylvester: No, because I mean when you get into the like Designtex and PolyVision in Asia, they are all a little bit different. So, I’d rather just stay away from it.
Budd Bugatch - Raymond James: Okay. You knew I would try. Thank you for your answer.
Dave Sylvester: Yes.
Operator: Thank you. And our next question comes from Josh Borstein from Longbow Research. Please go ahead.
Josh Borstein - Longbow Research: Hello everyone. Thanks for taking my questions. Just on the top-line, do you anticipate any pull forward demand in the first quarter for [April] price increase that you guys have out there?
Terry Lenhardt: Hey Josh, it’s Terry Lenhardt. We will see a pull forward in orders, we always do, it’s pretty predictable, but you don’t get much benefit in shipments in the first quarter, but our price adjustment takes effect mid April. It’s always a few million, but compared to last year, I’d expect it to be comparable.
Josh Borstein - Longbow Research: Okay. So the revenue guidance you have for the first quarter doesn’t really include any pull forward amount; is that right?
Terry Lenhardt: It will include a small amount that’s comparable to last year, so really doesn’t affect growth rates if you’re looking on a growth percentage.
Josh Borstein - Longbow Research: I see, okay. Thank you for that. And then on the Americas, obviously you guys have done an outstanding job there, taking share in -- what according to BIFMA was a relatively flat year here. Based on what you see now, is that still what you think is going on or do you see any meaningful acceleration in the underlying industry dynamics out there?
Dave Sylvester: This is David. As I said in my comments about next year, we do expect the U.S. contract furniture industry to grow modestly, which is an acceleration relative to calendar 2013, but obviously in my remarks I wasn’t suggesting a significant acceleration.
Josh Borstein - Longbow Research: Okay, thanks. And then just lastly, just to make sure I understand, in EMEA, Jim you said in here in the current fiscal year and definitely ‘15, you don’t expect any material improvement in that segment, does that mean you expect the similar EBIT performance as you did in FY140 or is it just you expect losses of some amount?
Jim Keane: Well, we gave you a sense of what we expected in the first quarter; I thought you don’t want to go any further than that other than we are working on a lot of things that will show some benefits, but also have costs associated with them and we can get those together, we’re not going to see a net improvement in fiscal year ‘15 unless we see as somebody else asked before, a cyclical improvement in the economy that drives overall demand stronger, in which case we could see an improvement. But for now, we’re not expecting a significant improvement; I’d rather not try to put a number on that, but that’s how we believe it.
Dave Sylvester: Josh, I’d refer you back to my comments to where I mentioned that we expect continued adjusted operating losses in the EMEA segment until our strategy is more fully implemented and the economy improves.
Josh Borstein - Longbow Research: Okay, got it. Thanks for that. And then if I can just sneak one more. And in Asia Pacific it had been soft; you saw some improvements there this quarter. What’s going on in that part of the world to turn the business around?
Dave Sylvester: Actually it’s broad-based growth, some of it is or most of it I would say is project activity. But we’re seeing it virtually in almost every market. We do have some expansion strategies, some distribution strategies that we’ve been deploying in different parts of Asia that are starting to pay nice dividends and orders. So some of the growth is coming from that, but some of the growth is starting to come back in the areas that we’ve targeted more strategically over the last five years. And to be honest, even in some of the other developed part of the Asia Pacific market; we started to see growth again. Whether that sustains for the full year, remains to be seen, but it certainly was positive to see 28% growth in the quarter. And when I was there in February doing our -- working with our General Manager on quarterly business reviews, the level of optimism and activity just feels a lot different than it did a year earlier.
Jim Keane: I would just add to that that for several months we have seen signs of our pipeline building, meaning the activity level that has not yet turned into orders and our own forecast would have expected that some of those would’ve turned into orders sooner. So it was frustrating at times and it’s gratifying to see this boost in conversion from interest to orders all happened over those last few weeks of this first quarter setting us up for -- fourth quarter, setting us up for stronger first quarter.
Josh Borstein - Longbow Research: Thank you for the color and good luck in the year.
Jim Keane: Thanks Josh.
Operator: Thank you. (Operator Instructions). And our next question comes from Todd Schwartzman from Sidoti & Company. Please go ahead.
Todd Schwartzman - Sidoti & Company: Hi, good morning guys. First off on the CapEx guidance, is that 90 to 100 consistent with what you were thinking maybe three months back?
Dave Sylvester: Yes, I would say so. I mean we knew that it was going to be at or slightly above the current year level, again because of some of the things that we have in the pipeline with the manufacturing plan. I think if I went back and look at the detailed calculations three months ago, we might have had a little bit more CapEx related to the new plant in fiscal ‘15 -- or I am sorry, in fiscal ‘14 and so a little bit of it was delayed to ‘15 but not anything meaningful.
Todd Schwartzman - Sidoti & Company: Got it. In the financial services vertical, you said it was I think a slight decline there, was there anything -- was there one or more outlying shipments in the year ago quarter that skewed the numbers there?
Dave Sylvester: There was one client that was -- purchases were pretty heavy in year ago quarter.
Todd Schwartzman - Sidoti & Company: So, if you were to look at maybe a core, the core vertical, ex that one large client, how would things look differently?
Dave Sylvester: It still would be a decline year-over-year, but that vertical had a pretty good run on double-digit growth for few quarters. So I think it’s just leveling off a bit.
Todd Schwartzman - Sidoti & Company: Sure. Okay. And what do you see maybe on a global basis, if you want to break it down by region, that’d be great; what are you seeing with regard to both non-res construction and also vacancy absorption rates?
Jim Keane: On the non-res piece, Todd, basically, I think we’re definitely in some of the cities that you visit around the world, there is definitely a lot of construction going on, London would be a perfect example of that, in various cities that I have been to in the United States, you see cranes in the sky. But the real sort of bump in office construction hasn’t come yet. I think the better metric perhaps would be to think about it from a complete non-res fixed investment number, because that captures not only the new office construction, but also the renovation piece as well. And that’s really what is the, I think we believe has been helping our growth more in the recent years than in the past.
Dave Sylvester: Hey Todd, it’s Dave. Well, I don’t see good vacancy rate data on all the markets around the world, but we do see though continues to suggest the vacancy rates are high and incentives by landlords are still high, which we think is good to [incent] churn which we've benefited from for the last couple of years.
Todd Schwartzman - Sidoti & Company: When you do start to see a meaningful pick-up in construction, do you look to as maybe an early leading indicator any particular segment, any region, any customer size, any folks that play in a particular vertical like where would you expect to see those earlier signs if it's even predictable?
Jim Keane: The only thing that I can think of is, perhaps you might see more office construction in downtown areas as opposed to suburban areas. And that's the only sort of distinction that we've seen.
Todd Schwartzman - Sidoti & Company: Okay, great. Thanks.
Dave Sylvester: Todd just one follow-up on your financial services question, without the top client from last year, the change is year-over-year; that vertical would be about flat in the sales.
Todd Schwartzman - Sidoti & Company: Okay, great. Thanks.
Jim Keane: Thanks Todd.
Dave Sylvester: I would just add to that last point, the construction data we follow and we track it is important, it is a factor, if you’re trying to build an economics metric, you kind of metric mile to Steelcase, it would definitely be a factor in it. But because the renovation is such a big part of our business that it seems like job growth and degree which companies are adapting change, which we can’t really get the statistics around. Those are the things that seem to be more directly drive our cyclicality than the actual construction of business, our buildings because -- the other part of this is that there is a significant lag between the time you're looking at the construction of the building and people are actually occupying it. There is a big lag between the construction period and when the furniture gets ordered and shipped. So, let me give another reason why it's been tougher for us to find as direct of a correlation although getting to the factor.
Todd Schwartzman - Sidoti & Company: Thanks much.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back to Jim Keane for any closing remarks.
Jim Keane: Well, thank you again for attending the call and for your questions this morning and your interest in Steelcase. Again I look forward to meeting as many of you as I can face-to-face over these coming weeks and months. I’ll just reiterate, we’re very excited to start this new fiscal year, although we face some challenges in our business, we have faced some before and we’ll face some again. We are really encouraged by some of the strengths we see particularly in order patterns as we’ve talked about in the Americas in end of the fourth quarter the strong order growth we’ve seen in Asia, growth in EMEA in February orders which leads to a strong backlog. So you can measure those things, but the thing that might be tougher to measure or gauge on a call is how people are feeling. And so I am equally interested in what I pick up from meetings I get to have with customers and with our sales people who are out in the field competing everybody with our dealers and had a chance to be with American dealers, as well as we’ve had gatherings of dealers in EMEA recently. And even in geographies, where you’d be concerned about the economy and so on we are feeling a sense of optimism beginning to rise among the dealers; we’re often the first to see it. So that gives me a great hope as we start this next fiscal year. And you also feel it in our employees, so I had a chance yesterday to be in front of 800 of our employees sharing their [methods] together for a quarterly downhaul where we talked about our financial results from the year, we talked about our future and our plans and I assume at the back of the room as people are leaving and had a chance to talk to a lot of people. And you could just feel the energy and optimism in the air. So combination of seeing orders grow and then kind of looking in people [buying] and seeing the excitement that they have gives me hope. So I look forward to working with all of you in this new role. Thank you again for your attention.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. You may all disconnect. Everyone have a great day.